Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Jabil First Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. I would now like to turn the call over to Ms. Beth Walters, Senior Vice President of Communication and Investor Relations. Please go ahead.
Beth Walters: Thank you. Welcome to our first quarter of 2013 earnings call. Joining me today are President and CEO, Timothy Main; Chief Operating Officer, Mark Mondello; and Chief Financial Officer, Forbes Alexander. This call is being recorded and will be posted for audio playback on the Jabil website, jabil.com, in the Investor section. Our first quarter press release and corresponding webcast with slides are also available on the website. In these slides, you will find the financial information that we cover during this conference call. We ask that you follow our presentation with the slides on the website and beginning with slide two, our forward-looking statements. During this conference call, we will be making forward-looking statements including those regarding anticipated outlook for our business, our currently expected second quarter of fiscal 2013 net revenue and earnings results, our long-term outlook for our company, and improvements in our operational efficiencies and financial performance. These statements are based on current expectations, forecasts and assumptions involving risks and uncertainties that could cause actual outcomes and results to differ materially. An extensive list of these risks and uncertainties are identified in our annual report on Form 10-K for the fiscal year ended August 31, 2012, on subsequent reports on Form 10-Q and Form 8-K, and our other securities filings. Jabil disclaims any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Today’s call will begin with our first fiscal quarter results, highlights and comments from Forbes Alexander, as well as guidance for our second fiscal quarter of 2013. Tim Main will follow with macro environment and Jabil specific comments about our performance. We will then open up the call to questions from call attendees. I will now turn the call over to Forbes.
Forbes Alexander: Thank you, Beth. Hello, everyone. I ask you to please refer to slide three. Net revenue for the first quarter was $4.6 billion, an increase of 7.2% on a year-over-year basis. GAAP operating income was $170.3 million or 3.7% of revenue, which compares to $170.8 million GAAP operating income on revenues of $4.3 billion or 3.9% for the same period in the prior year. Diluted earnings per share were $0.51. Core operating income excluding amortization of intangibles, stock-based compensation decreased 1% to $192.5 million, represents 4.2% of revenue. This compares to $194.6 million or 4.5% for the same period in the prior year. Core diluted earnings per share was $0.61. If you now please turn to slide four, we’ll discuss our segments. In the first quarter, our Diversified Manufacturing Services segment grew 20% on a year-over-year basis, driven by continued strength in Specialized Services, while offset by weakness in Instrumentation, Clean Tech products related to the smart grid rollout encompassing meter -- meters, solar and wind related products. Revenue for the segment was approximately $2.2 billion, representing 47% total company revenue. Core operating income expanded in the quarter to 5.8% of revenue. Enterprise & Infrastructure segment increased 17% on a year-over-year basis. As we’d expect revenue was approximately $1.4 billion, representing 30% total company revenue in the first quarter. Core operating income for the segment is consistent with the previous quarter at 2.4% of revenue. The High Velocity segment decreased to 20% on a year-over-year basis, driven primarily by declines in handset volumes. Revenue was $1 billion, representing approximately 23% of total company revenue. Revenue performed better than our guidance as we saw strength in the quarter in handset volumes, offset by weakness in printing and set-top box revenues. As a result, core operating income for the segment was 3.2% of revenue. I now ask you to refer slide five. We ended the quarter with cash balances of approximately $1.03 billion. During the quarter, cash flow from operations were as expected, approximately $152 million. Capital expenditures were $165 million but majority of these investments being focused towards our Diversified Manufacturing Services segment. In addition, during the course of the quarter, we purchased approximately 7.3 million shares, totaling $129 million, an average price of $17.58, exhausting our approved stock repurchase program. Our sales cycle increased by approximately two days, primarily as a result of growth in inventory levels, position to support revenue levels in the first month of our second fiscal quarter. Our core EBITDA in the quarter was approximately $284 million, representing 6.1% of revenue. Now, GAAP return on invested capital for the quarter was 21%. We’re pleased with the operating performance in our first fiscal quarter. Core operating performance was well within our expected range while revenues above. We are off to a great start in terms of our cash generation with continued expectations generating $1 billion from operational cash flows in the current fiscal year. I’m also very pleased to note that earlier in December, Standard & Poor’s upgraded our corporate credit and senior unsecured issue ratings to BBB minus from BB plus. Our capital expenditure estimates for the fiscal year remained in the previously guided range. I would now expect expenditures to be -- excuse me, to be towards the higher end of that range for $500 million as we continue to make investments to support ongoing growth in our Diversified Manufacturing Services footprint and capabilities. If you now please turn to slide seven and eight, where I’ll discuss our second quarter guidance. We expect revenue in the second quarter on a year-over-year basis to increase approximately 4% to be within the range of $4.3 billion to $4.5 billion. Core operating income is estimated to be in the range of $165 million to $185 million and core operating margin in the range of 3.8% to 4.1%. Our GAAP earnings per share are estimated to be in the range of $0.40 to $0.48 per diluted share and core earnings per share estimated to be in the range of $0.50 to $0.58 per diluted share. This being based upon a diluted share count of 208 million shares. Based upon the current estimates of production, tax rate on core operating income is expected to remain at 22% for the quarter and the full fiscal year. Capital expenditures in the quarter are estimated to be $200 million. Turning to our segments and year-on-year performance, the Diversified Manufacturing Services segment is expected to increase 7%. The Enterprise & Infrastructure segment is expected to increase 15%. And finally, our High Velocity segment is expected to decline 13% on a year-over-year basis. I’d now like to hand the call over to Tim Main.
Timothy Main: Thank you, Forbes. This was an interesting quarter. The primary takeaway for me is the robust revenue growth, which I think is remarkable in the current environment. I would also highlight growth in Diversified Manufacturing Services which rose to 47% on our overall business. On each of these dimensions, the quarter was record setting for the company. Growth in Enterprise & Infrastructure was a bit better than planned. This was welcomed in an otherwise lackluster-demand environment. Year-over-year, margins were up 40 basis points. We’d like to see more progress but we believe we’re on path to be within our targeted range by year end. We are making investments in complex order fulfillment capabilities diluting near-term progress. The new leadership of this business area is taking a page from the High Velocity playbook, focusing on customer service and remanufacturing principles to improve results further. In the High Velocity sector, business conditions weakened a bit. A notable exception of this being mobility products which enjoyed a stronger than expected quarter. For the sector overall, we are pleased with the results and prospects for the year. Our DMS sector is now pacing in excess of $8 billion per year. We’ve enjoyed multiple years of strong growth and now have significant scale to build upon. Quarter-on-quarter margins improved 50 basis points and are within our targeted long-term range. Additional growth and improvements in our Healthcare & Instrumentation and our Industrial & Clean Tech businesses, which serve to drive margins higher in the range. Specialized services and in particular, our Materials Technology Group continued to leverage growth through remarkable levels. Specialized Service is now 31% of our overall business, representing unique value stream for Jabil. AMS is investing in expanding capabilities to advance logistics and IT intensive services in emerging markets, while also expanding to serve new verticals. The MTG group has become a leader in both innovation and scale. And we will continue to invest in MTG’s growth. Specialized services, is a higher value add non-electronics set of capabilities, providing us with solid diversification and new paths for future growth. Our focused strategy of driving growth and returns in a differentiated manner continues. Please turn to slide 10. I’ll take a moment to discuss this slide. Here we compare Jabil’s DMS sector size and growth rate with that of our North American competition. We’ve taken publicly available information and reconciled the data to provide us close to an apples-to-apples comparison as possible, adjusted to a calendar-year basis. The X-axis of this chart reflects the dollars of revenue added to the respective DMS sectors in the last three calendar years, the years being 2010 through 2012. The Y-axis reflects compound annual growth rate over that same time frame while the bubbles are representative of the estimated calendar 2012 revenue for each provider. Jabil is represented by the green bubble. You can see that Jabil has added approximately $3 billion of revenue in the Diversified Manufacturing segments during the period, a compound annual growth rate approximating 30%. Jabil’s DMS revenues are expected to be about $7.8 billion in calendar 2012, representing an excess of 40% of the total DMS revenue expected by North American providers for the year. Jabil’s in a unique position enjoying the benefit of diversification and scale that comes with successfully competing an E&I, High Velocity and DMS sectors. With efficient operations in E&I and High Velocity combined with a large and growing presence in Diversified Manufacturing Services, we are in an advantage position to drive margin and cash flow generation. Please turn to slide 11. Here we compare absolute EBITDA dollars and margins among the largest North American EMS providers for the most recent trailing 12-month period. The bubble size in X-axis exhibit absolute EBITDA dollars while the Y-axis exhibit EBITDA margins. Two companies dominate the market today and are responsible for over 70% of the dollars generated in the industry. However, Jabil’s intense focus on operational efficiency and growth in DMS places it in a unique position of combining scale and cash flow. Perhaps this is one of the reasons Jabil’s recently upgraded to investment grade by S&P. We planned to continue investing in our capabilities, customer services and people. We are in a competitive business and understand we must continuously improve our value proposition for customers. With this in mind and in spite of the uncertain environment, we remain optimistic about our prospects for the future.
Beth Walters: Operator, we’re ready to take questions from our call attendees.
Operator: Certainly. Your first question comes from the line of Amit Daryanani with RBC Capital Markets.
Amit Daryanani: Afternoon, guys. Couple of questions, two questions for me, I guess. One, just from the third quarter -- you guys were talking about the DMS segment being down 8%, 9% sequentially. We certainly get a sense, do you think that’s going to be uniform across the three sub-sectors or do you think Health & Industrial segments may start to hit a bottom from a revenue basis or do you think they’re going to get a bit more softer in the Specialized Services -- if you just maybe comment on that, it will be helpful?
Timothy Main: I think within the Specialized Services area, there is certainly a lot of smartphone content, mobility content which does have a seasonal element. I think we should see the Healthcare & Instrumentation and the Industrial & Clean Tech stabilize in Q2, Q3 and then start to grow again as we get to the second half of the year. There is primarily a seasonal pattern on it.]
Amit Daryanani: Perfect. And then if you maybe just touch on the inventory numbers, I think it was up about 9% sequentially in November. If could you just talk about drove that, is that for some ramps that you were building up of the third quarter. And if you talk of maybe how much of that was finished good versus raw material, it will be helpful?
Forbes Alexander: Hi, Amit. I’m Forbes. In terms of our overall spread of inventory, the finished goods is pretty consistent for the problems we see that I believe that’s we’re in about 13% to 14% of the inventory level. That’s been pretty consistent now for the last two or three years, so nothing extraordinary there. Finished goods did rise, I think, on average like $30 million to $40 million. But the overall growth in inventory is no pre-positioning of inventory for this upcoming quarter. You know there is still lot of mobility products to be built and shipped in the early part of this quarter that the sell through into carriers and such like. So that’s the main reason and then, we should see that start to normalize in our second fiscal quarter.
Operator: Your next question comes from the line of Craig Hettenbach with Goldman Sachs.
Craig Hettenbach: Yeah. Thank you. Tim, can you provide an update on that AMS business in terms of pipeline today and then just also the potential M&A environment and how you’re looking at that business going forward?
Timothy Main: The business is growing at about 9%, 10% year-over-year. So the pipeline of opportunity is good there. They’ve extended their business into some very advance logistics and forward logistics capabilities, taking on new business areas and places like the African continent and other areas that are very challenging, very IT intensive and are really stretching their capabilities. We think long-term they will pay -- those efforts will pay really extraordinary dividends. We’re active as always and looking for acquisitions and other opportunities to build capabilities there. But right now their plate is very full with the customers and pipeline of opportunities that they have on an organic basis.
Operator: Your next question comes from the line of Brian Alexander with Raymond James.
Brian Alexander: Hi. Thanks. Good evening guys. So looks like you’re guiding revenue down about 5% sequentially, EPS down about 12%, if I use the midpoint of the guidance. So, could you just talk about the operating margin decline that you’re looking for in the February quarter, 20 basis points or so? How much of that is being driven by the mix shift away from DMS and how much would you attribute to margin declines within some of your segments? And if you can maybe just give us some directional color on margins by segment, that would be helpful? Thanks.
Timothy Main: It’s pretty tough to isolate how much of it is just deleveraging on the revenue being down and how much of it is associated by segment because it’s kind of tough to pick apart. It’s really very consistent, if you look back over our history. It’s actually a very low level of seasonality in terms of being 5% down. The last three, four years have been low single to 5% kind of seasonality. It’s a lot less than it’s historically been and the level of income that’s coming out of the model for Q2 is very consistent with deleveraging probably a little bit less than what we’ve seen historically. Historically, we see something on the order of $0.15 to $0.20 on the $1 and in this case, it’s less than that. So, I don’t think it should be surprising from a deleveraging standpoint. Directionally, in terms of margins for the business, I said in the last conference call and I just reiterate that here a little bit. We see that Enterprise & Infrastructure and the High Velocity margins, coalescing in the 3% range notwithstanding the fact that they have different long-term targets at least to the next three to five quarters. I think we’d expect the average of the two to be in the 3% range, maybe a little bit better as we exit that period, but kind of an average at 3%. And I think that in terms of Diversified Manufacturing Services, if you looked forward a few quarters, we should be able to average 6% or a little bit better. So, that would model to something in the mid four’s for the company overall, which we think is a reasonable way to look at it beyond Q2, so looking at Q3, Q4 and maybe Q1 of 2014.
Brian Alexander: Okay. Just a quick follow-up, Tim, on the -- I didn’t hear you allude to the EPS growth for fiscal ‘13. I think last quarter we talked about 5% to 10% growth. So I don’t know if that’s still something that you’re expecting or if that’s off the table. I think you need to generate about 55% of the year in the second half. So just thought I would check on that? Thanks.
Timothy Main: Yeah. I don’t think -- we’re not pulling away from the 5% to 10%, although I’d say based on the fact that the first half of the year is about what we thought it’d be that we probably trend more towards the low-end of that 5% to 10% range.
Brian Alexander: Got it. Okay. Thanks a lot.
Timothy Main: Okay.
Operator: Your next question comes from the line of Amitabh Passi with UBS.
Amitabh Passi: Hi. Thank you. Just a couple of questions. Forbes, maybe just an appreciation of why the turnaround or improvement in E&I margins appears to be taking longer. Revenues seem to be holding up relatively well. So I was hoping you could maybe just touch on that? And then for High Velocity, as we move into the February quarter, one of your mobile customers will be ramping. Should we expect operating margin to stay above the 3% range or do you think we could probably see the operating margins in the high two’s?
Mark Mondello: This is Mark. In regards to the…
Amitabh Passi: Hey, Mark.
Mark Mondello: How are you doing? In regards to the E&I margins, I actually think we’re on track. We put the team in place from High Velocity and exploiting some of our High Velocity capabilities. So we are in the process of consolidating resources, managing cost containment, driving lowest landed cost solutions, optimizing working capital and improving operational efficiencies. At the same time, taking great care of the customers and providing good customer service. As we had talked about recently on the road, we feel optimistic about getting to the 3% with little wind at our back as far as revenue recovery to the extent we get some type of macro economic recovery that will help that much more.
Amitabh Passi: And then just on the HVS margins as we look at the February quarter?
Forbes Alexander: Yeah. Directionally, as we look into the February quarter, we’ve experienced some weakness in printing and set-top box as we’ve gone through the first quarter. And there seem some similar patterns as we move into Q2 with some seasonal adjustments there, some strength in handset, can’t discuss particular customers plans there, but obviously, we have a customer within High Velocity that clearly looking to launch product sometime during our second fiscal quarter. We’ll see how that plays out. But we have seen some drift down in the margin just as handset content increases within relative scale in our High Velocity. So, depending where those volumes go, so I would say to be consistent to maybe down a little bit, depending on the levels of handset volumes we see sell-through in Q2.
Amitabh Passi: Okay. Thank you.
Operator: Your next question comes from the line of Matt Sheerin with Stifel Nicolaus.
Matt Sheerin: Yeah. Thanks. First just quick question on your customer exposure, could you tell us, what if any 10% customers were in the quarter and what that top 10 customers represent as a percentage of sales?
Timothy Main: Yeah. We have one 10% customer and that’s in the Diversified Manufacturing Services area in the quarter.
Matt Sheerin: Could you be specific about that number, is it more than 15%?
Timothy Main: No. Just we had one 10% customer.
Matt Sheerin: Okay.
Timothy Main: And our top 10 customers are pretty consistent actually around about 61%.
Matt Sheerin: Okay. And then on the E&I segment where you continue to see some good growth there relative to the end markets obviously being weak, how much of that is on the new program ramps versus what you are seeing from your customers in terms of end demand? And if you could be specific about the new program ramps or pipeline within that business breaking down into the various segments of that industry?
Mark Mondello: Yeah. I would just answer that, in general terms, I think that most of what we are seeing on E&I in the early half of fiscal year ‘13 and carrying to the back half of the year wins that we realized mid to end of fiscal year ‘12, the market conditions have been quite tough in that entire sector. The one good thing is we continue to serve some of the best brands whether it would be in storage, networking or telecom. What we are seeing is if there is any uptick the carriers and entities are starting to spend some level of CapEx for network and infrastructure expansion especially around the 4G and the LTE area. But as far as specific program wins or we’d not rather keep it at a general level.
Matt Sheerin: Okay. And just a quick follow up on that, Mark, relative to the pricing environment, we obviously saw the Juniper and Plexus news talk from other EMS guys about a little bit more pricing pressure, obviously a tough market to begin with, are you starting to see some more pricing pressure on these new deals?
Mark Mondello: I wouldn’t characterize it is as new pricing pressure. We’ve been in that market long time and we are always under pretty intense pricing pressure. So as I alluded to you earlier, we’ve got I think 10 minutes prepared statement called it our High Velocity playbook. What he is alluding to you there is we are taking some of our consumer type High Velocity capabilities again around cost containment and optimizing working capital, and consolidating resources et cetera, et cetera to be hear that, we can not only offer competitive pricing but get reasonable returns and get us to the 3% margin range by the end of the year.
Matt Sheerin: Okay. Great. Thanks.
Operator: Your next question comes from the line of Steven Fox with Cross Research.
Steven Fox: Thanks. Good afternoon. Two questions, first of all just in terms of new programs. Just sound clear, it doesn’t sound like you were talking about any other new program wins in the last couple months helping this year’s revenue. Have you seen any -- is there anything in highlight in terms of momentum since the last quarter? And then specifically with that could you talk a little bit about your ability to maybe Diversified and Specialized Services away from just one largest customers, you had any success there? And then I have a follow up.
Timothy Main: Which segment -- in the first part of your question which segment are you referring too?
Steven Fox: Just in general terms -- just any kind of new program commentary just going forward beyond what we’ve already talked about?
Timothy Main: Yeah. Little too diverse and dispersed really categorize any major new programs that we’ve won. Some of the areas of our business were actually precluded from talking about new wins. But we feel good about it being growth here. I think, most people would be looking for a topline growth this year. We are off to a really fabulous start. So, in terms of FY ‘13 over FY ‘12 should be a good year. Mark eluded to an Enterprise & Infrastructure at least wins that we are secured in FY ‘12 contributing FY ‘13 revenue. So and Specialized Services, we do have an aftermarket services business there that’s growing, that’s a component of Specialized Services. Our MTG group does have a high level of concentration. Although, we do business with virtually every major mobility company in the world today, so that revenue is little bit more diverse than what maybe people think. It’s expanding into areas -- other areas of consumer electronics, optics and healthcare, which we hope to accelerate in the near future. We, again, within customers it’s always the objective of the company to diversify within each major customer. So, there is a quite a bit of program and product diversity within our MTG group. I think tend -- people tend to think about that is very one-dimensional in terms of product and we participate in a broad range of products over 25, 30 different programs and literally 100’s of different part number. So that stream of value is quite a bit more diverse in terms of product categories and what folks have typically associated with it, so.
Steven Fox: Yeah. I appreciate that. That’s very helpful. And then just a quick follow up. Just to be clear, you guys have had some Jabil’s specific issues that have affected the margins over the few quarters. But if I understood the commentary correctly, there is some investments going on in E&I. But generally speaking as we look at the margins for rest of the year we’re basically looking at margins being driven by revenues, quarter-to-quarter changes in revenues or are there other things we should factor in?
Timothy Main: Well, for Q2, I think you just have to take it for what it is, its revenue deleveraging and we are still looking at, growth here for Jabil, so that would imply that the second half of the year will be very good from a revenue and margin standpoint at least that’s the way we see it today. And I think we would see some, particularly if we get some tailwind in the Healthcare & Instrumentation, Industrial & Clean Tech areas that stabilize and start to improve a little bit, that the DMS margins might start with the 6 in the second half of the year and between the E&I and High Velocity segments, if we average 3 that would apply operating margins for the company overall in the mid 4’s. By the end of the year based on growth rates, we should see Diversified Manufacturing Services become 50% of our business.
Steven Fox: Great. Thank you very much.
Timothy Main: Okay.
Operator: Your next question comes from the line of Wamsi Mohan with Bank of America.
Wamsi Mohan: Yeah. Thank you. Your DMS segment margins improved nicely relative to last quarter. Tim, can you give us some sense of what percent of capacity has been ramped up so far or maybe which inning you are in with the ramps in Specialized Services such that is it like realistic to think that exiting next quarter, the drag from the ongoing ramps will be entirely behind you?
Timothy Main: We are in a kind of a continuous state of capacity expansion. Forbes mentioned CapEx trending towards the high end of the $500 million range, which means it will be adding capacity throughout the year. So we are at very high levels of utilization. We will be building additional capacity, not all of which is in Specialized Services but fundamentally the vast majority of it into Diversified Manufacturing Services. So in terms of the drag I think a lot of the interruptions that we highlighted in our Q4 call started to -- started to decline over the course of Q1 and we feel much better about the position in that we are today. I think margins would have been better in DMS, if we had not seen, a fairly significant decline in Clean Tech & Instrumentation business, which is very understandable given the dynamics and particularly when you start thinking about renewable energy and spark demetering, which tend to be government subsidy related. So I think that stabilizes and we start to improve margins in the Healthcare & Industrial areas, but the overall DMS margin picture can improve.
Wamsi Mohan: Thanks Tim. And just a follow up, I mean, you mentioned, I think, in your answer to the last question that you could get to 6% DMS margins in the back half? But could you get there even if your levels of revenue at in sort of the Healthcare & Instrumentation and Industrial & Clean Tech you may have levels where they are today? Thanks.
Timothy Main: I think that’s possible, I mean, we’ll have to see how things go. We have growth in Healthcare & Industrial, actually it isolate the Healthcare only business, it’s actually very stable and we’re positioned for some growth. And the same is true of the Industrial business. If we isolate Clean Tech from the Industrial area, the Industrial business has been very stable and poised for growth for the balance of the year. So we just kind of need the Instrumentation & Clean Tech areas to be stable. They don’t need to grow. They just need to stop eroding to the extent that they did in the last quarter and then we’ll see the Industrial & Healthcare business grow, and that will be accretive to the overall business.
Wamsi Mohan: Okay. Thanks a lot.
Timothy Main: Okay.
Operator: Your next question comes from the line of Shawn Harrison with Longbow Research.
Shawn Harrison: Hi. Two questions, just a follow up on the capacity, maybe another way to think about it is, how much square footage have you been adding for DMS. I guess over the past 12 months, at the end of this CapEx cycle how much will square footage increase? And then the second question is with the buyback complete, very good prices, are you looking at doing another buyback here during the remainder of the year?
Timothy Main: I’m not sure how many square feet we’ve added. It’s enough to accommodate $500 million worth of stuff. I’m not being obtuse on purpose, I really, I just don’t know off hand and I’m not sure that’s a metric that will be valuable in anyway. But we are adding a lot of space. Forbes, you want to address that?
Forbes Alexander: Yeah. We said -- as you say, we’ve completed the stock repurchase. Certainly, at this juncture, no major plans to increase that or look for additional repurchase authorization. We are well-positioned in terms of our cash generation this year. So expect about a $1 billion of cash flow. As we said earlier, we now expect our CapEx to be at the $500 million level. But we want to continue to manage the balance sheet conservatively as we move forward here and make sure we do have liquidity available to continue to invest where we feel it’s appropriate in that, enhancing our capabilities, the acquisition or continued on this, really good organic growth path we’re on.
Shawn Harrison: I guess with the $500 million, does that give you breathing room in terms of utilization within DMS or are you still going to be with kind of running up against it?
Forbes Alexander: No. I think that will, once we deploy, I mean, that would certainly give us, some breathing room, obviously we’re laying down additional square footage, we talked a couple of quarters to go about expansion in Chengdu with up to 2 million square feet. We don’t at this juncture plan on building the full 2 million, but certainly we’d expect perhaps half of that as we exit end of ‘15, excuse me, ‘13. We’ll see how that plays. But there will be some capacity and we’ll review that as we move through the fiscal year as to demand patterns we’re seeing there.
Shawn Harrison: Okay. Thanks so much.
Operator: Your next question comes from the line of Jim Suva with Citi.
Jim Suva: Thank you. Happy holidays, and congratulation to you and your team at Jabil. When we look at your guidance and well, I’m talking February quarter year-over-year, I was looking at year-over-year kind of remove seasonality. Can you help us understand why EPS is not growing but sales is growing and DMS is a much bigger part of your company? Is it still the yield issues within DMS and if so, when you talk about 5% to 10% EPS growth this year, if my math was correct that would be materially second half ramp, is that correct? And how should we think about how you can get from not year-over-year EPS growth right now, but yet such a big increase in the second half of the year? Then my follow up question which is probably for Forbes, you used the cash, stock buyback you finished it, you did quite a bit looking to hit CapEx up a little bit? But is your plan use for cash number centered around M&A, engineering talent, CapEx, dividend, help us better understand your viewpoint for cash, because you’re looking to be in a quite healthy situation? Thank you. And again happy holidays and congratulations.
Timothy Main: Thanks Jim. Yeah. I think, year-over-year when we look at the DMS margins, they are down about 90 basis points that’s, we are not pleased with that, we’d like to see that be in a higher registered in the 6% range for sure at least. A lot of that is investments in AMS and the aforementioned headwinds that we are seeing in the Clean Tech & Instrumentation area, our Specialized Services area is actually doing relatively well year-over-year. So, and again, I think, we’ll see marginal improvement in that area in the second half of the year. So, and I think, we’re really pleased with the 50 basis point improvement in that area quarter-on-quarter. Our targeted range is 5.5% to 7% and we’re at 5.8% and a little bit better improvement and we’ll see 6% again.
Forbes Alexander: In terms of the cash flow, Jim, I think you hit the nail in the head there, we’re in a really strong position from a cash flow generation perspective and as I said to previous comments, our main focus with our cash generation is to ensure liquidity to focus on what has been some -- in this macro economic backdrop impressive growth organically. And also from an engineering talent perspective, from an acquisition perspective should we see we need to further expand our capabilities or enhance the revenue stream. So that’s our key focus. We are committed to our dividend as it is today and we will see how the balance of the year goes in terms of our cash generation. But we feel really good about the position we are in.
Operator: Your next question comes from the line of Sean Hannan with Needham & Company.
Sean Hannan: Yeah. Thank you. Good evening.
Timothy Main: Hi.
Sean Hannan: Quick question around, there have been a number of comments out there about reduced orders at your biggest customer and really based on bottlenecks within the supply chain. I haven’t really heard that addressed or referenced too much during the call and I wanted to see if we could get a perspective around that?
Timothy Main: There is no way that we could talk about supply chain bottlenecks or anything to do with any individual customer’s business.
Sean Hannan: Okay. Well looks like we’ll moves to the second question. All right. So when you think about your new business, is there a way Tim or Mark, if you could provide an overview of how you are looking at the ramps on the horizon this year. Perhaps where you feel a little bit more confident in realizing the intended scale and timing of programs maybe you have rolled up at a segment level versus where there may be modifications on the state of the macro environment? Are there some areas being affected a little bit more so than others? Thanks.
Timothy Main: I think in terms of weakness for the last couple of quarters, and I think in terms of the present tense, any business area that relies on business spending, capital spending and government spending has been really weak and really over the last four, five months of the year, we can even further. So, I think in terms of business confidence, we need to see that turnaround a little bit so that, those capital spending areas can improve. Now, that said, we feel like we have line of sight to adequate Enterprise & Infrastructure growth for the year even in the poor spending environment. So we actually feel good about that. In the High Velocity area, there has been some weakness as Forbes outlined in set-top boxes and printers. There is really not much to make us believe that there will be any type of robust recovery in those business areas anytime soon. Our mobility business on the other hand is -- looks like that could trend upwards over the course of the year. So, I guess, we’re cautiously optimistic about that element. In Diversified Manufacturing Services, as I said the Industrial and the Healthcare areas are relatively stable, and we do have a pipeline of opportunity that could supply -- not spectacularly growth, but growth. And if we see the Clean Tech & Instrumentation level out improve a little bit that would really contribute to a better margin picture in the DMS area. In Aftermarket Services, they are in the midst of ramping some very large, very complex customers. If those customers are successfully ramped over the course of the next quarter or two, I think that can contribute to much better earnings and margin performance in the second half of the year. And then in the Materials Technology Group, we think that will be another good year of growth.
Sean Hannan: Thanks very much.
Timothy Main: Okay.
Operator: Your next question comes from the line of Sherri Scribner with Deutsche Bank.
Sherri Scribner: Hi. Thanks. I just wanted to dig a little bit into the DMS segment, the guidance was for up 7% year-over-year. And I think your long-term guidance is for 15%. I think that suggest you’re going to need to see some improvement in the back half. Just trying to understand what the puts and takes are in that 7% being below your expectations and should we assume you’ll see some improvement in the back half in that segment?
Timothy Main: Yeah. I’d say that you’re applying a long-term target to a single quarter and a seasonally down quarter at that. It was up 20% in the first quarter. So I think when we look back at this time next year, we’ll easily see a 15% growth rate for the year, so not filled with much concern there. This is with the growth in Specialized Services in that business, Sherri, that’s going to be a little bit more seasonal than maybe it has been historically, if that part of the business increases as a percentage of the total DMS area. So still feel very good about the 15% year-over-year growth.
Sherri Scribner: Okay. Great. And then just a technical question for Forbes, I think the share count guidance for the second quarter was flat q-over-q, but you guys did a lot of buybacks in the first quarter. Was that first quarter buyback weighted to the beginning of the quarter or should we expect share count to be maybe even a little bit lower than the 208? Thanks.
Forbes Alexander: Yeah. It was predominately weighted to early on in the quarter, Sherri. We do have the issuance of some equity, typical period of equity issuance late in October of each year. So we will have the full effect of that issuance offsetting some of that buyback in the second fiscal quarter.
Sherri Scribner: Great. Thank you.
Timothy Main: Welcome.
Beth Walters: Operator…
Operator: We have reached our allotted time for questions. I would now like to turn the conference back over to the presenters for any closing remarks.
Beth Walters: Okay. Great. Thank you very much everyone for your participation on the call today. We will be available through the balance of the week for any follow-up questions you might have on the quarter. And I might just also note that Tim Main will be our guest on Mad Money tomorrow afternoon somewhere around 5 o’clock. Thank you very much.
Operator: Thank you for participating in today’s conference. You may now disconnect.